Operator: Greetings and welcome to the Gentherm Inc. 2014 Fourth Quarter and Year-end Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host Michael Mason. Thank you, sir you may begin.
Michael Mason: Thank you. Good morning and thank you for joining us for joining us for the Gentherm Incorporated 2014 fourth quarter and year-end results conference call. Before we start today’s call, there are few items I’d like to cover. In addition to disseminating through PR Newswire this morning’s news release announcing Gentherm’s results, an e-mail copy of the release was also sent to a number of conference call participants. If you need a copy of the news release, you may download a copy from either the Gentherm website at www.gentherm.com or the Allen & Caron website at www.allencaron.com. Additionally, a replay of this conference call will be available via a link provided on the Events page of the Investor Relations section at Gentherm’s website. During this conference call, representatives of the company may make forward-looking statements within the meaning of federal securities laws. These statements reflect current views with respect to future events and financial performance and actual results may materially differ. Please see the company's sec filings including the latest 10-K and subsequent reports for a discussion of various risks and uncertainties underlying such forward-looking statement. During the call the company may discuss non-GAAP financial measures as defined by SEC regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in the company's earnings release. On the call today from Gentherm, we have President and Chief Officer, Dan Coker; Chief Financial Officer, Barry Steele; and Chairman, Bud Marx. Management will provide a review of the results, after which there’ll be a question-and-answer period. I would now like to turn the call over to Dan. Good morning, Dan.
Daniel Coker: Good morning, Mike and I appreciate your introduction, and we would very much like to thank everyone for joining us on our call today to discuss our fourth quarter and full year 2014 results. For the second year in a row we've been lucky enough to attain to record results on both the top-line and the bottom-line. We would like to thank all of our employees worldwide all the 9,300 of it and all of our partners and vendors for this outstanding record of success to the company as of joy. In 2014 we broke $800 million in revenue for the first time turning it into $811 million top-line result which was up about 23% over 2013 662 million. This was a very strong performance by our team and has been repeated several years since the merger of the two companies in 2011. So we're very pleased with the results, we're going to try to give you a broad overview. Barry will as usual give some very precise technical details and then we will be opening the floor for full discussion and Barry if you are ready let's lead us through the details of results for the fourth quarter. 
Barry Steele: Thank you very much, Dan. Welcome everybody; our earnings for the 2014 fourth quarter were $0.55 a share on a fully diluted basis. This represents an increase of $0.24 or 77% over the fourth quarter of 2013. This improvement is the result of a favorable conversion of significantly higher revenues to net profit. Our product revenues for the third quarter were $205.2 million, which represented an increase of $22.9 million or 13% over the fourth quarter of 2013 product revenue. We achieved this despite significant foreign currency translations headwind. And the fourth quarter Euro U.S Dollar exchange rate has been the same as the prior year fourth quarter. Our revenue for the fourth quarter of 2014 would have been 4.6 million higher and would have represented an increase of 15% over the prior year period. Similarly had this exchange rate been the same as the 2014 third quarter our product revenues would have been 3 million higher. Our gross margin of 30.3% for the fourth quarter was again higher on a year-over-year basis and as compared to the third quarter of this year. This amount included a one-time benefit associated with our warranty reserve totaling 3.7 million offset partially by some one-time expenses totaling approximately 2.2 million. Had these one-time items not occurred our gross margin would have been 29.6% which is higher than the gross margin percent during the fourth quarter of 2013 which was 27.2%. A number of favorable factors contributed to the fix rate including improved coverage our fixed cost by the significantly higher product revenue, the shifting mix in our products favoring [indiscernible] a favorable exchange rate and production cost that we incurred in foreign currencies and continually improving contribution coming from our electronics manufacturing facilities which continued to increase production volume. Our operating expenses were 37.6 million during the fourth quarter representing an increase of 4.9 million. Over half of this increase represents the regular operating expenses of Gentherm Global Power Technologies, the new company acquired this year totaling $2.5 million. Not including Gentherm Global Power Technologies, the increase in operating expenses would have been 2.5 million or 7.5%. Much of this remaining increase reflects increased resources that are being directed to development of existing and new products and the [related marketing activities] for these new products which we expect will continue to support our product revenue growth targets in the future. Our fourth quarter adjusted EBITDA was 35.7 million which was 10 million or 39% higher than that of the prior year period. Again the significant increase resulted from a very favorable conversion of the much higher product revenues. Income taxes, during the fourth quarter we recorded an effective tax rate of 18.3% of our pretax earnings. This rate is lower than our average tax rate due to shifting amounts of our taxable income to lower tax jurisdiction benefits from a more efficient legal structure which was reorganized during the fourth quarter and a benefit from the valuation of the favorable tax at group of Global Power Technologies that were adjusted in the fourth quarter. We estimate that our 2015 tax rate will likely be 25% to 27%. A quick note on the balance sheet, our cash now total of 85.7 million at the end of the quarter this increased over the full year was 30.8 million and our total debt now is at 90.8 million. Additionally we have approximately 85 million in available and borrowing capacity on our evolving line of credit we have planned liquidity to upgrade the company. That is all I had and now I’ll turn it back over to you.
Daniel Coker: Thank you very much for that very positive report, Barry, and I think as you can all see from every measure, the Company has strengthened and been able to exploit our market position as the leader in thermal devices in the automotive and industrial markets. At this time we would like to go ahead and follow with our normal trends and open the floor for questions, Jessie, if you’re ready we’ll take any questions we have from the floor.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Thank you, our first question is coming from the line of Samik Chatterjee with JPMorgan. Please proceed with your question.
Samik Chatterjee: First I wanted to touch on the gross margins which came in pretty strong even when excluding the onetime warranty accrual, so maybe just on more specifics can you quantify the currency benefit that might have been there in the 4Q gross margins and then in a more broader sense can you help us with like the factors that drove gross margins, like the gross margin expansion in 2014 and how do those factors stay out in 2015, so as to give us a sense of where gross margins can go to in 2015?
Daniel Coker: I am going to leave the technical analysis. Barry has studied this quite a detailed on the impact of the currencies on the gross margins. He has done a great job of helping us to understand that. But in a broad sense, we’ve been focusing our attention since the merger of the companies; I am trying to target a 28% standard gross profit. We felt very confident going into 2014 that these numbers were well within reach. We had several programs that we were instituting internally to try to make sure the gross margins were achieving our target of 28% minimum including and I think a big contributor has been our efforts at internalizing our electronics consumption. We’re not well over 85% self-efficient in all electronics controlled modules and components that we use. We've also been putting a bit effort on trying to get more balance in our product line mix. Barry mentioned earlier that our sales of CCS heated and cooled and heated and vent products continues to grow at a very good rate indicating that the consumers in the marketplace see very good value in the climate control seat systems that we’re offering to the market. In 2014 we saw a near parity between our basic heating seat elements which are entry level products and the higher content products of heated cooled and heated vent and that has been very good for our gross margins and those programs of course are continuing into 2015 and 2016 with new products coming into the mix like the heated steering wheels, heated and cooled cup holders and other products that we -- we are very much are pleased with in terms of performance of the market. Barry, if you would give a brief comment on how the currencies have impacted margins that might be helpful.
Barry Steele: Sure, so during in the fourth quarter the most important currency relationship that impacted us is the decline in euro and as I mentioned there was a significant impact on our comp line. From a gross margin standpoint, it’s decreased our gross margin dollars but hasn’t really shifted the gross margin percentage to a large degree because we have significant euro related cost as well as euro related revenue. Other currency movements that have happened during the quarter but more towards the end of the quarter include Mexican peso weakening, Canadian dollar weakening, and a further weakening in the Ukraine grivna. Those impacts should be beneficial to us on a margin percentage basis, but really only impact us in the future as they start to take us back to the first quarter.
Samik Chatterjee: Thanks for that and maybe just to then touch on the revenue growth that you had in 2014, I mean, you’ve had 23% year-on-year revenue growth which marked 20% outperformance versus the industry and I was just wondering are there any -- obviously they’re strong growth numbers which you’ll have to comp against in 2015, but is there any other headwinds to keep in mind as your guidance currently sort of implies more like a 15% outperformance versus the industry in 2015, is there any headwinds that we need to keep in mind?
Daniel Coker: Well the headwinds of course are the economic activity of the world particularly in the auto sectors. We do have some current uncertainty about what's happening with the balance between the foreign currency exchanges that has impacted us in the fourth quarter and will impact us in the first quarter. But in the long term sense we're still quite comfortable with our guidance of 10% to 15% over 2014's rather remarkable results.
Samik Chatterjee: Just lastly can you give us an update on the GPT business and when you talk about your readiness to go after business in different markets there? Can you just give us a sense of what will be typical size and the duration of all those businesses and the type of customer's you're targeting? 
Daniel Coker: Yes our global power systems group has been kind of implementing to the new Gentherm programs where we spend quite a bit of time and effort preparing the team to get ready for growth. We've had some work to do in the factories to try to get the capacities ready to expand we've also added capacities in the North American market in particular to focus on the customers. We've added yield engineers and the sales teams be able to help us engage with the existing oil and gas field customers as well as engaging our advanced development teams on the old Gentherm side as well as the rather capable teams that are global to be able to identified product improvements and additional new products that will be needed to help us reach our goals of dramatic growth for the global systems group.
Samik Chatterjee: If I just can follow on what kind of help us with the revenue number into the fourth quarter from business.
Daniel Coker: Barry wanted to give the global of fourth quarter result.
Barry Steele : It's about 7 million.
Operator: Our next question is coming from the line of Matt Koranda with ROTH Capital. Please proceed with your question.
Matt Koranda : Just wanted to start with your outlook for 2015. It seems like you guys have highlighted well in the prepared remarks about headwinds from the euro. If you adjust for this on a constant currency basis what would the revenue outlook imply?
Daniel Coker: The revenue outlook of adjusted for the current currency would be well within our guidance of 10% to 15%. We give a range we don’t give a specific dollar amount because of these unusual impacts on the world economies, we're including the currency exchanges, we are a global business, we have lots of exposures to different markets different customers and in this day and time different currency reaction. So when we give our guidance we have given some thought to how all of the current conditions will impact our operations. So given what we know today we're still very comfortable with our 10% to 15% guidance over 2014's 23% growth.
Matt Koranda: And then could you help us understand how GPT factors in to the outlook? Would we expect it to grow in line with that 10% to 15% top line guidance or may be a little bit better than that?
Daniel Coker: We actually think that Global has a lot of room for growth and we're expecting better than the 10% to 15% out of our partners at Global.
Matt Koranda: And then just touching on supply chain for a moment. I know lot of people have been kind of curious about this. But is there any impact to your supply chain or shipments to customers given the West Coast foreclosure. I am assuming just given your manufacturing footprint there shouldn’t been much of an impact. But can you just help us understand that?
Daniel Coker: Actually we do have impact from the West Coast [strikes]. We do import a lot of goods in the form of components and in some cases finished materials from our partners in Asia including our own factories and when they get hung up on the coast and aren't allowed to come in there is a ripple impact not only from us with our own vendor base in supply chain. But also our customers other supply chain. A lot of our automotive customers are depended upon Asian sources from many of the components in sub assembly that they use to assemble cars and we have being some adjustments to schedules based upon the long delayed DUX straight out in the West Coast. So there has been some very minor impact so far and it will take a little bit time for that kind of ripple to follow all the way through the marketplace. So it's not been significant for us so far. But it has been an air return and they will some maneuvers to be able to avoid any detrimental impact to us to our customers and from our customer to there in customers as well. 
Matt Koranda: And just a free follow up is it fair to say that the majority of the minor impact that you see will probably be contained in Q1 of '15 over just be some may be hand to Q2.
Daniel Coker: I think it's going to be mostly impacted in Q1 there might be – there are lot of bigger efficient respond in us. And so I think that some of our larger customers may have more of a problem with this than we.
Operator: Our next question is coming from the line Steve Dyer with Craig-Hallum. Please proceed with your question.
Steve Dyer : Barry could you let us know if revenue derived from the bed business as well as cups and bins. Was that material in the quarter and then how do you expect that to grow in 2015?
Barry Steele: For beds actually was not material for a couple of those it was basically the same as it has been at that 5 million to 8 million annual range. We do have new book business coming but I don't believe it starts in -- until 2015. 
Steve Dyer : Okay. With respect to beds you have obviously opened an office in Houston and hired some new folks, how should we think about that business throughout 2015?
Daniel Coker: Barry I will go ahead and take that. Yes we did open an office in Houston to help our partnership with our Mattress Firm retail partner, we've hired some people who are bed experts and understand the industry to be able to work with matt firms well over 2,000 stores nationwide in the U.S. And we do expect that move in our newly designed [atmos] brand to be quite helpful and we believe to see impact on our revenues in 2015. So we think that there is -- we still believe there is a strong market for high end heated and cool beds, we continue to see very strong consumer research results and we're trying now to tailor our delivery networks to channel to make sure that we are providing the product and the information of the product to the public, so we can begin getting some good sales. And I think Matt Firm agrees with that and is very much in line in support of these efforts. 
Steve Dyer : Are you able or willing to quantify kind of what you think that number could look like in 2015 or too early to say?
Daniel Coker: It's a little early to say right now. The bed market really kind of begins with President's Day gets rolling in kind of the midyear 4th of July, they apparently only sell beds during national holidays. So we haven't seen enough national holidays to see how it's going. 
Steve Dyer : You talked a lot about kind of the different levers involved in gross margin; you guys have kind of grown that very nicely throughout the year to kind of the top end of that 28% to 30% that you have talked about. Are we to the point where we can start thinking about more like a 29% to 31% range or do you feel like there is some extraordinary events that kind of got it to 30 and 28 to 30 is still the right way to think about it?
Daniel Coker: We like to see kind of a long-term trend and we've had four really good quarters where we were between 28 and 30 but we're comfortably between 28 and 30. So we still haven't enough evidence that we want to try to raise our current guidance on gross margin to anything beyond the 28 to 30 right now. If we start seeing some solid results that bump up in over 30 we'll reassess our situation and reassess the targets. But right now we're very comfortable with a 28 to 30 number and it is true we're bumping a little bit on the high side of that range right now but we're not consistently above 30, so we're very happy where we're at. 
Steve Dyer : And you referred to the port strike -- was that -- if there is an impact there however small, is that manifest itself on the gross margin line whether it be through expedited shipping et cetera or would that be somewhere else?
Daniel Coker: Well if it hits top-line of course when our customers don't order because they haven't got the other components necessarily to assemble [indiscernible] and for us there has been a very minor impact in terms of expedited freight to get the products from the dock to our customers but it's been so far very, very small. 
Steve Dyer : You are doing some building out of some new manufacturing facilities this year, is that going to be an impact well negative impact on margins at all throughout the year whether it be just dilution of your gross margin, adding capacity or is that going to be confined do you think to primarily CapEx?
Daniel Coker: Well there is going to be some CapEx and some operating expense as well as we man up to get these teams up and rolling. Our facility in Vietnam will be open in the second half of this year and will begin to contribute. We already to have a team, a local management team in place they are finishing the construction process in the second quarter; we'll still rigging the equipment and the gear on the factory floor. Third quarter we will begin bringing in teams and starting the training processes, fourth quarter we should start very limited production run. So there will be some cost that are incurred as all of this preparation work is undertaken. Most of the capital expense will be completed by the end of this year for [Vietnam]. And then as we turn our attention to our new facility in Macedonia the construction of that facility will start later this year and we will be doing repeating the same process in terms of manning up, training and getting the facilities up to our very high standards of manufacturing excellence before we open the plants and start shipping and generating revenue. 
Steve Dyer : Great. And then I guess while we are on manufacturing, can you talk a little bit about your credit facility how it's running -- I don't think historically you thought there to be much risk there but to the extent to which you maybe have created redundancy for that facility et cetera. That's it for me. Thanks. 
Daniel Coker: Certainly, well our Ukrainian manufacturing continues to be one of our premier facilities throughout the world. Some of our best people, our best engineers and our best technicians operate on a daily process providing Europe with some of the highest quality products available in the industry. We are on the far western side of the Ukraine very close to the Hungarian border, the Hungarian border is where we bring product across to distribute into the EU customer base for Europe for us. So we’re quite pleased with the results, we remain concerned about the conditions overall in Ukraine. We have had some positive impact from a crash in the Ukrainian currency but that also leads to instability in the general region and there is a war going on in the far eastern part of the country, so we have to remain alert and vigilant. We have taken steps where they’re positive. We have done things in terms of redundancy in equipment through some of our other facilities around the world including adding some capacities where it possible. We’ve also taken steps to protect things like uninterrupted power supply systems for the factory and just to try to make sure that there are no external forces that are put forth on our factories and our abilities to output and serve our customers, but in general the conditions in Ukraine remain positive and upbeat in our area and in our facilities and everyone of course is hoping that Vladimir Putin goes home and everything settles back down to normal and Ukrainian people get to determine their own results and of course [they will].
Operator: Thank you. Our next question is coming from the line of Bill Selesky with Argus Research. Please proceed with your question. Mr. Selesky your line is live you may proceed with your question. Mr. Selesky, your line is now live. We’ll move onto our next question which is coming from the line of Chris Van Horn with FBR Capital Market. Please proceed with your question.
Chris Van Horn: I just had a question on the 25% long-term goal of non-automotive related markets, could you just give some color on kind of how we get there and where we’re today and is it going to be organic or is it going to be acquisitions or some kind of mix of both, any color would be appreciated?
Daniel Coker: Certainly, well as any rationale people would look at world you see a business that has an awful lot of its future invested in a single market segment, that for us as great conservative business people, we see some element of risk there, risk exposure to the trends in that market. The auto market is notoriously cyclical and as a part of our long-term goal we would like to try to reduce our exposure to the variations in the auto demand worldwide. We have begun already to try to venture out in some new areas. You see our actions in power generation through our acquisition of Global Thermal Electric, that group already generates about 30 million in revenue. We expect that to grow quite nicely over the next five years that leads us into a [foray] into some other industrial applications where thermal management or power generation systems are considered to be of expressed value. We also have been looking at other areas including the consumer markets like the bed business. The bed and furniture business has not panned out as well as we would hope as fast as we would hope, but we’re seeing tremendous support in the market research for the concept and we believe if we figure out our supply chain tactics an strategies that we’ll be able to see very good solid growth from that. The 25% number is just something that we picked and said there is a long-term goal that we see a business that has some strengths in other new growing and expansion markets as to be a very healthy business and that’s really where we came with a target try to pinpoint other markets other than the exclusive automotive world.
Chris Van Horn: Okay and so is it safe for me in further kind of the increases in the R&D spend that you guys highlighted in the press release, part of that is going to be in kind of not automotive markets as well?
Daniel Coker: Yes a good portion of that is the development, product development process, technology development process, market identification and market study process to be able to find some new markets where the customer puts a good and appropriate value on thermal management systems.
Chris Van Horn: Great and then just one follow-up if you don’t mind, are you seeing any challenges kind of given the volatility and price of oil and gas?
Daniel Coker: The challenges, oil and gas prices don’t necessarily affect our main business in the auto industry in fact to be honest with you what’s happened we think worldwide is with the current depression in the price of gasoline at the pump we’re seeing a lot more people buy larger SUVs, pick-up trucks and such what we have a very high value content on, so that’s been a very good positive tailwind for us. In general, the oil and gas exploration and distribution business has seen some small impact on our global thermal business where we service the oil and gas industry. Some future projects have been delayed or some shipments may have been slightly delayed based upon the financial and economic realities of some of these oil fields.
Operator: Thank you, our next question is coming from the line of Gary Prestopino with Barrington Research. Please proceed with your question.
Gary Prestopino: Hi, good morning, I am at an airport so hope you can hear me. The facilities that you're putting up in Vietnam and Macedonia [are they] component facilities as well?
Daniel Coker: I am sorry couldn’t quite hear your question. Could you repeat?
Gary Prestopino: Sure the manufacturing facilities that you are putting up in Vietnam and Macedonia, are they component as well?
Daniel Coker: Yes the facilities that we're adding capacities in our agent in European business will be for all of our normal product lines component and sub-assembly that will be shift to our end customers.
Gary Prestopino: So did I hear you right that you said you're 85% self-sufficient in modules for electronics or components right now without these facilities or did I hear that wrong?
Daniel Coker: You heard that correct.
Gary Prestopino: And then in terms of the mix shift in the GPS business, that we do [indiscernible] could you give us those percentages at this point? I know that [some of you] always put is putting a slight effort what was the mix shift between those two items annually between '14 and '13 could you do that for us right now.
Daniel Coker: I can do it for you for '14 very quickly. We were slightly above 50% of our revenues, 2014 came from what we call our climate control seats systems that’s a combination of our heat cool and heat business. In 2013 I don’t know the exact percentages but if I had to guess I would definitely guess that our sales of heated seat elements a more commodity type entry level product for us we're certainly of a larger share my guess would be at somewhere in the 55% to 60% range in 2013. We have seen a considerable push on increasing the customer awareness and the customer participation in our climate control seat systems again where we have more content and value add and that has had a very positive impact on our margin lines.
Operator: [Operator Instructions]. Our next question is coming from the line of Josh Goldberg with G2 Investment Partners. Please proceed with your question.
Josh Goldberg : Just a couple quick questions. I guess first on the climate control seat business looks like you guys had a very good fourth quarter and obviously for the entire year. Can you talk a little bit about how much of that you think was pricing improvement versus units just on the climate control seat side? And how much did your currency for you on that specific area?
Daniel Coker: Well the content is actually a bigger piece of it than the pricing structure across the ASPs for the heated cooled and the heat vent business are significantly higher than the standard heat business. And with that we get a better play at the bottom line. I am not really certain exactly how much impact the currencies have had on this. The majority of our heat cooled and heat vent business is in our North American market with a very good solid push into the Asia business. So the biggest impact relatively we received from currency has been in our European theater and we aren’t really that strong yet in heat cool heat vent in the European market. So I would say that currency impact on that growing and important segment of our business was virtually nil I'll asked Barry to give any comment he might have on that as well.
Barry Steele: Even where we have significant part of our climate business in Europe as U.S dollar price. So that what you said is absolutely true.
Josh Goldberg : In terms of that point I know talked off this year that you face is your comparison to beginning of the year with the K2XX platform launching in other things which has you grow your climate control seats in the 40% range and now the normalize more to a 22% growth in the climate control seats for the December quarter and that currency is not really playing a role much one way or another. Is it fair to say that embedded in your 10% to 15% growth rate for next year that climate control seats stay roughly at 20% growth for the foreseeable future? It sounds like you're getting on more products and obviously in more sales of [SUVs is going] to be positive, this 20% to 22% is that part of your roll up to get to your 10% to 15% for the year.
Daniel Coker: Yes it certainly is, it continues to be a key strategic objective of the company to increase our revenues and the higher value added content product line. And that’s precisely what that means we're going to continue to push hard to make sure that heat cool and heat vent stays at forefront of all the customers product portfolios and I would also like to point out I'm that Barry is itching to say this. As we convert customers, existing customers over from a heat only kind of entry level position to a heat vent business, we don’t book it as a sale of a seat heater but each heat vent system has a seat heater as a component of it sublimely. 
Josh Goldberg : It cannibalizes your seats business a little bit which is okay.
Daniel Coker: Right in fact we don’t consider it cannibalization we actually consider it an upgrade and up sell of what we're offering and it makes more sense for us to be able to package a basic entry level product with some additional technology which adds to the ASP and the appeal of the product to their customers worldwide.
Josh Goldberg : Okay. And Ford F-150 can you talk a little bit about, I know that they had a little bit of a delay in terms of getting their production rolling, did that contribute much for you in December or are your very optimistic for that going into the March quarter?
Daniel Coker: There was a little bit of delay in the introduction of that F-150 product to the marketplace and there was a very small I would say pause in the production of the F-150s. But they continue to produce it pretty close to normal run rate even though they weren't releasing the product to the customer until they were ready to do their big reveal which occurred at the Super Bowl ad week, so there wasn't really a lot of direct impact on us with the transition from the all steel bodies to the aluminum bodies F-150, so there very little impact for us. 
Josh Goldberg : Okay. Final question for me Barry or Dan if you could just sort of highlight in terms of the growth of 10% to 15% is it going to be skewed at all due to the front of the back half for the year dependence on what you see in terms of models rolling on and kind of quarters or productions that you have in hand that gives you when those will going to start rolling on and congratulations for the year? 
Daniel Coker: Okay, thanks a lot. I would generally say that traditionally in the auto business the second half of a year is where we have the most likely opportunity to pick up new platforms and to see business rev up as the new model years come out. So I would say in a general sense that we would expect to see the second half to be a little bit stronger than the first half in 2015. Barry any comment?
Barry Steele: Yes [I will agree] that the 2014 cycle has been completely unusual where we grew revenue very fast off the gate. We will continue to grow in each quarter but we won't have the same pattern of growth as you saw in 2014, it will be more normalized. 
Operator: We have no further questions at this time; I would like to turn the floor back over to management for any additional concluding comments. 